Executives: Michele Katz - U.S. IR Executive  Bernard Charles - President & CEO  Thibault de Tersant - Senior EVP & CFO
 Presentation:
 Unidentified Company Representative: So good morning, everyone. Sorry for the delayed start. We had a technical problem, but it was only a technical display. Nothing else. I’m pleased to go and review with you on the second quarter 2007 on the (inaudible) for 2007. As you have seen, I’m sure, the press releases. Our results are above the objectives, both on the revenue and EPS. Despite the add/wins on the (inaudible). I think we can see that the source of this growth is coming from both older (inaudible), and I will explain that, on basically all geographies. ENOVIA was up 32% excluding (inaudible) rate, very strong on the three fronts. Basically the VPLM, the Smart Team on the MatrixOne. I will explain that later. The CATIA growth was also very strong with large customer transactions. Basically, good performance with all brands. The go-to-market, the transition, transformation of our distribution channel is working very well, both on the PLM channel management. As you know, this channel transformation has been orchestrated for the next 18 months, so to start from 1/1/07 ongoing through the process until 1/1/08. It shows excellent results. The business partners are very pleased with this position and they are making more money. Therefore, they can invest for growth. On the new brands, we have announced a new brand called 3D (inaudible) for online applications. I will also explain why it’s so critical. I think two strategy goals with (inaudible) expand the PLM scope to involve consumers. The second aspect of it is create new communities of users. And I said communities, because we will have professional communities on the (inaudible) communities. We are upgrading slightly the full year revenue objectives, up 14% to 15%. Confirming the EPS objectives for the full year, so in some way, also using the risk for the fourth quarter by definition of this. As you know, we have not taken all the upside created for the first half for the update of the full year revenue, but I think it’s a way to make sure we will achieve our objective on what we have said we would be doing. So if we go in more details about that, the year-to-date 17% revenue growth; 13 for the second quarter. The software year-to-date 15%, 10% second quarter. Please keep in mind that the base effect was very strong second quarter; 2006 was as very special quarter with large transaction as we announced it last year in July, which was the Abaqus transaction, so the base comparison was high. But despite that, we grew 10%. EPS is up 14%, both in the quarter on the first half. You should notice that I think this growth of Q2 is mainly driven by CATIA and ENOVIA. Both on the mainstream PLM as well as large accounts. Now if we split by product families, PLM is up 14%; year-to-date 18%. The ENOVIA itself is up 32%. I think that what should be taken into account here is that the three product families that make ENOVIA are working extremely well. If you’ll remember, when we acquired MatrixOne last year, or a year ago, I think the transaction closed mid-may 2006, there were some questions and doubts about the complementary of the product family. We see today that the portfolio is extremely competitive on three fronts to make it simple. A complex product, if you’ll recall, we explained that VPLM, Virtual Product Lifecycle Management, was very critical – they are (inaudible) complex machinery. And we are demonstrating with Q2 and first half that the traction for growth is there. We also said that there is a market for integrated PLM with basically what we call CATIA PLM Express where Smart Team is now part of the solution. And the Smart Team growth is coming from there. The reason why it’s critical, it provides a value on differentiating factor for the mainstream PLM market for mid-tier companies. So instead of selling CAD, we sell really virtual collaboration. That’s the source of the growth and I think it’s long-term growth from the Smart Team standpoint, from that aspect. And then, on the MatrixOne aspect, ENOVIA MatrixOne, we see this as a significant growth driver for expansion of PLM in new markets. (inaudible) win as many of those are wins in new sectors (inaudible) that PLM is required there. And I think it’s probably a good explanation why some of our competitors are failing, because we were not very strong there in the past, but now we are. And we are basically on all deals, including win backs on (inaudible), win backs on Windshield, and I think this dynamic will strengthen in the future. So that’s the reason why the ENOVIA 32% growth is there and I don’t think it’s an accident in the quarter. I think it’s a long-term trend. On the geography standpoint, 23% in Asia, despite the challenge we see in exchange rate. As you know, the yen, this is excluding exchange rate, but Japan is strong, China is strong, Korea is very strong. Also, in America 21%. In Europe, 3% looks quite light, but please keep in mind the (inaudible) effect of the Q2 2006 that we referred to. So 6% on the full year. So all products, all regions on the ENOVIA strategy is working. I noticed some time there are still some doubts. We are on all fronts, all fronts we believe we can target all types of opportunities in all sectors of the 11 sectors we are targeting for PLM Virtual Collaboration. If you look at the software revenue, it’s up on the quarter 10% excluding exchange rate; 15% on the first half. So the first half of all was quite strong. The service revenue has accelerated somewhat in some way. As you can see in the second quarter, it’s a small portion of the total revenue. You should not project any extrapolation of that per se in your model. We continue to consider service as a critical piece, to be the catalyst of business transformation for PLM, but we are really also relying on our partners to do it. So we don’t want to cannibalize our business, of course. So the service investment we do is for IM Consulting, puts some resources in critical customer locations and help our partners work with us, not taking the full contracts, because we believe this is part of the ecosystem development. So good dynamic on the software. We have a better discipline on the consulting, high end consulting. Our capitalization on business practices if very strong. We can use them in a better way now and I think we will continue to increase the profitability on that small portion of the revenue, which is the service revenue. On the recurring side, we continue to promote and push contracts with the leasing approach as opposed to one-time charge. As you can see, the growth of recurring revenue represents 62% of the revenue. Similarly, as a contributor to that, a lot of similar contracts, we lease the software as opposed to selling it. The growth was about, of this recurring part, was about 30%, I think we should see later on. So significant growth. We believe that this model is critical as we move step-by-step to online. We need to have this kind of subscription-based consistency and we think it’s a strong effect for mid-term and long-term growth in terms of (inaudible) and reliability of our performance. Because on the large (inaudible), we know what is going to happen. We also take advantage of this to continue to do cost selling of brands, to continue to expand the PLM offering, the PLM scope within the install base. Operating income was 23.4% in the quarter, up 2.8%. The (inaudible) of half a point on the first half for margin. Excluding the exchange rate, the operating income was up 11% at 24%. On the EPS side, above plan. The consensus was at $0.38 to $0.40. We are at $0.42 of euro, up 24% for excluding the exchange rate for the EPS on 13.5 if you include the currency. So despite the currency, we have taken this top line as a way to balance that. Now, let’s review some of the key growth drivers. Double-digit growth on the CATIA revenue. If we exclude the base effect I referred to at the beginning of my presentation, we think that there are two factors there which are stable factors for mid-term. Number one, the adoption of CATIA PLM solutions for the mid-tier market; the efficiency of our channel to sell such kinds of solutions. You know, (inaudible) anymore, virtual collaboration. On large accounts, we believe we’ll continue to accelerate the consolidation to one offering system that is consistent with the ordering system for production and consistent with the virtual collaboration environment. I see more and more large customers requesting first that we integrate all the portfolio. We can do that, of course, but despite that, we continue to drive the growth by brands, because we believe that this is the best way to have a competitive edge on each of the activities we do. So the footprint of CATIA is growing significantly in industry and machinery, high tech, shipbuilding, medical equipment, consumer goods. The unit, if you look at the numbers, of course might be a little bit disturbing, because it’s negative growth on the quarter at -8%. Once again, if you remove this base effect, you would not see these kinds of numbers. The ASP has been almost flat in euro, slightly (inaudible) at -3%. There is nothing specific to notice on the ASP side. On the comment that I made earlier about big groups consolidating, the consistency of their software, I think we see this happening at Daimler-Chrysler, for example, where the offering for design is now replacing everything else that was installed there. As you know, with the acquisition of ICEM, we are also expanding the scope of what we do from the very early design stage, the conceptual design stage, to the production side. So, major achievement there. All new car programs at Daimler, at Mercedes Benz are now 100% of everything – electric, power train, chassis, engine, body, interior, everything – is done with CATIA. Also in China, we have very interesting traction in China in the aviation industries. As you know, it’s a growing sector there. I believe we can become the (inaudible) in this industry in China. There is no customer there that will not evaluate our solution if they are anybody in aerospace. There’s a long way to go for the transformation of the business, but I think we have a good team, excellent skills, excellent partners, and I think this is also growth for the long-term when we made the decision to adopt CATIA. We are expanding summer vacations so maybe this is your future vote. With (inaudible) they are adopting our solution for design. This is the design of everything, interior/exterior. There is a real market there. It’s a quite complex design. There is a market also for the construction side of it. As you know, many showcases have been done in this area now so we are getting stronger references. In industrial equipment we have many, many suppliers adopting CATIA PLM Express Solution, which is CATIA plus Smart Team. So what they do with it is they do the product management, collaborative environment. The authoring is becoming one piece of it so they buy the total solution, we deploy this, we have a very formalized process to make it quick in deployment. The business partners like it because it’s increased their value. It changed the game plan from functional benchmarking of the authoring to go to true collaborative environment. It also gives our business partner an opportunity to create add-on applications. So they do an add-on application on Smart Team. They will sell that and create a better revenue structure for them for long-term growth. So this is, I think, I think an important parameter especially for this industry because the business partners in this industry, the resellers, have not been making so much money with all our competitors – basically none – and our indirect model is I think working very well from that perspective. In another CATIA account here, which is (inaudible); a very interesting company, you know, 170 people and $30 million revenue so it shows that collaborative PLM can be adopted by rather small companies. And we shortened the cycle time by 30%. This is becoming known and it’s becoming a very good set of references for the other players to select. Now, it’s very hard to replace a CAD system when it’s installed; it’s very easy to replace a CAD system if you don’t come with a CAD solution, but if you come with a PLM solution. That’s what we are doing here. So I believe our success rate to replace existing CAD solutions from the competitor will increase moving forward. On the PLM portfolio, here are some illustrations. We’ve partnered with Volvo, Renault, Toyota, Boeing Europe; a lot of names here where the players, those companies, are adopting the entire suite of products, CATIA, DELMIA for production, SIMULIA for simulation and testing and ENOVIA. It’s becoming a very comprehensive approach. And the side effect of that, the critical factor for us is to demonstrate that we can reduce cost of ownership. One of our biggest customers, we moved 1,600 applications from the operating environment by adopting the standard, complete PLM offer from Deso Systems. The cost of operating those 1,600 specialized applications was higher – operating them, running them, using them every day – was higher than the cost of the software acquisition. So we have demonstrated that without we could diametrically reduce the cost of operation for a PLM environment by simplifying on using the integration factor. Once again, I think that this will be a strong factor to justify the acquisition of the full product suite. I’m not saying that all customers out there yet because you have decisions that are made by specialists, but it’s a new trend. We have seen it happening in ERP back years ago. I think it’s happening now for our PLM offering. The consequence of this is I don’t think that competitors without complete product portfolio will be able to take advantage of such kinds of trends. So we put a lot of attention to create the evolutions through the SOA architecture, a lot of attention to have seamless integration between all the product lines, with consistent architecture in such a way that we can reduce the total cost of ownership and it changed the way you negotiate with the customer. On ENOVIA, as I said, we are very pleased with the product portfolio. I think the strategy was right. I think the message that was conveyed by the competitors about explaining that the portfolio was not fully integrated is not a credible message, because the reality is you have to look at how the market is structured. And the reality is you don’t sell to a mid-sized company the way you sell to a very large company and they don’t need the same thing. The third element, the third reason is if you have very complex products, such as airplanes, cars or ships – you know, ships can be 20 million parts – you don’t manage those products the same way you manage simpler products, but with a wide product range of products, wide family of products like Nokia. So in one case you need VPLM, in the other case you need a MatrixOne approach and for a mid-tier market you cannot afford complex solutions. It has to be ready to use and this is Smart Team. Are we making the technology common across? Yes. (Inaudible) one single user interface for everything, DS3 environment, one common modeling infrastructure for everything, but we want to continue to keep this product portfolio. So you see here why we have this growth. I think this growth is not by accident. I believe that there is a market for VPLM Smart Team on MatrixOne as part of this. Here are some cases, Augusta Westland; with the adoption of PLM on re-engineering their entire design to manufacturing process; Gucci, we were not used to win those kinds of accounts. Now we are there to fight and win in all those sectors. And we did one this week with CATIA. Probably CATIA will be used one day for some of these designs. We did it with ENOVIA MatrixOne and there are more of those to come because I believe we bring the value, which is the collaborative environment for product development sourcing on life cycle management. Then we continue to make progress with DELMIA. It’s a very complex domain. The acquisition of UGS by Siemens has not created any side effects for us in this area. We continue to strengthen our position with (inaudible) manufacturing. I think the measure of selection here is completeness of the product portfolio and the robustness of the applications. Airbus was, of course, a big factor last year second quarter, but continues to be and I am confident that Airbus will standardize on everything we have. The next step we are doing now is (inaudible) simulation for new airplane programs, so it’s a good endorsement of our simulation platform. Now, let’s talk about the channel. We have the responsibility now for 20 countries around the world. So we have continued to expand that. So those countries, which are listed here, China, Australia, New Zealand, Latin America, Taiwan, France (inaudible), USA, Canada, U.K., Ireland, South Africa, Tunisia – this is done. New countries that were done in Q2 were Sweden, Denmark and Finland. We continue to do that; (inaudible) will be the next 15 countries conditioned by early 2008. So we are prepared, the operating environment, the discipline to work with partners, the new business model with then conditioning of business practices. And, frankly speaking, without doing that it would have been difficult to sell PLM for the mainstream market. So we believe it was a good decision and it is a good decision and it shows results. Still, everything is not optimized. We had to set up the environment first and we’ll optimize it later so I think we have a leveraging factor in terms of efficiencies to sell in this sector, something like what we did for the SolidWorks machine. SolidWorks machine is a very powerful machine for volume selling. We want to do the same one for PLM. Now, on the value channel, the results are there. If you look at the number of new wins, for example, in Korea, we have increased the number of new customers by 80% just by taking over on managing the channel ourselves. This shows that the capacity for the channel to replicate success is critical to appropriate volumes. PLM Express, the integrated solution, accounts for 60% to 70% of the revenue made with new accounts. So we make it simpler, easier to deploy, collaborative environment, so the execution to transition in those countries has been going well, 75 VARS positioned at the end of Q2 of this year and we are starting to identify new VARS for PLM because we want to increase the local support and the coverage quality. This could not be done before; you need to have an operating environment in place to do that. It’s unique; if you look at all the players in the industry everything is direct, almost everything is direct in this area of PLM. I believe that for this mainstream PLM market the indirect model is on the final showing 10 point growth, 10 point value creation, customer care is a better model. On SolidWorks the growth was 11%, 14% year-to-date. The seat sold was up 6%. It’s a little bit below what you are expecting and what we expect for SolidWorks. I believe that the reason for that is the decision we made early this year to transform the distribution channel in Japan. First of all, I will tell you that Dassault Systems is very successful in Japan. Unlike most of our competitors we are very successful. I believe in the PLM world the CATIA ENOVIA environment will become an industry standard in the manufacturing industry in Japan. The issue we’re solving with SolidWorks, it’s very simple. When several years ago the distribution system was built in Japan, we started with a joint venture and we started with a two-tier distribution channel, i.e., the joint venture was the leader to drive the reseller, unlike everywhere else around the world where it’s one tier. One tier means the Dassault System SolidWorks team manages directly to reseller in each of the countries. That’s what we are doing in Japan. We are moving from a two tier distribution that they don’t think is a valid model to a single tier and it has created a little bit of tension. I think this is under control and this parameter should not be visible for the second part of the year and I hope we will take advantage of this moving forward in 2008. We have prepared an outstanding release for 2008 with SolidWorks. It will make transition from 2D to 3D even easier, so we continue to put a lot of attention to be able to take Auto CAD design data and migrate them extremely easily to a 3D environment. We believe that there is a huge install base there looking for 3D adoption. So it’s an evolution in their user interface, ease of use, advancement in really the coolness of the user interface and the customer feedback is very, very good about this new release. So as you can see, the track record for SolidWorks to continue every year to issue new releases that will provide compelling value for this mainstream market is interesting. So year-to-date was 10% growth in unit, 6% in Q2; I’ve given you the reason. If you exclude Japan, the effective growth would have been around 13%. ASP was slightly reduced 4%. And if you look at Q1 in ’07, the ASP was similar to the H2 of ’06 so there was no degradation on the ASP side from that perspective. Expanding, we have announced Q2 Dassault Systèmes was created on very simple foundations. We want to master 3D; this was between 1980 and 1990. Between 1990 and 2000, we said we are going to do digital mock-up to replace physical mock-up. A very simple story. We want to replace the physical mock-up and we did it. It has created an industry transformation, which continues to be the reality of our growth today. Then in 2000 we announced PLM. We said we are going to use digital mock-up, not launch something like many of the competitors are saying. We are going to use digital mock-up to do the life cycle management of the products. That’s what we have been doing since 2000 and we’ll continue to focus on that. But then we added two years ago the fact that we will do collaborative business process and why do we want to do that, because companies are changing their business model. Look at the 787 business model; completely different producing programs. Future Airbus business model will be different. They have the case of the 787, 135, 180 suppliers; they want to integrate all of them real time. This is collaborative business process. Then we said we will do realistic simulation because we want to replace physical testing. This is SIMULIA and this is investment we are doing. Now we are saying we are going to connect and help our customers connect the consumers to the way they designed our products because very often consumers are not involved in the process. In order to do that we did online capabilities that our customers will use to connect themselves to the consumers, our customers. That’s what Boeing is doing with their airlines with what is called e-configure. Some of you are using their tools online to have the airlines connecting to the Boeing site and configuring the airplanes themselves. We believe that this is going to be used for much more than that. We want to be in the front. For example, CPG market, and we want people when they do packaging to have a good idea about how the shopping experience, where these packages will be put, in which environment. If you look at apparel, they want to manage the stores, the configuration of the stores, they want to look at where the products will be put, what is the buying attitude, what is the first moment of truth? We are pushed by customers to do that, so this is just a funny illustration of that, but it shows you today on the game platform you can have for $500 realistic real time scenes that will give you an idea about how the shop should be laid out. The cost of the console is small for business, so we want to generate code for those kinds of machines where people will say, okay, I’m going to watch what I can do and I’m going to organize my store along the lines of the identity, branding rules and knowledge about how you sell. This is how far we want to go with life experience. My view of it is very simple. You have heard about second life; we want to do first life. We will do first life. We do real things. It will be aligned, but it will be the virtual world. This is where Dassault Systèmes is going, online application to connect to PLM, our customers defining their options for their calls or for anything you want on this online. And this is why we created 3DVIA This is why we created 3D Suite; see what you mean with Publicis Group. Why is Dassault Systèmes creating a joint venture with publicist’s group? It’s very simple, because we want the marketers of the world to use our solution to define the identity and the branding identity of the products they do. This is a huge market and those people today the only thing they have are just little drawings and sketches. They cannot see the product, they cannot see the packaging. So that’s the fundamental goal of 3DVIA. If you have not gone there, please go. You need to have a good configured PC; don’t go with a small graphic card. But if you have a good graphic card, and I know we are still sensitive to the PC configurations so sometimes it does not work, we know that and it’s going to be fixed, but if you have the right configuration you can see very cool things. And it’s about changing 3D, creating 3D communities, creating professional communities and before we end, we will have designed online, we will add design capabilities online. This is 3DVIA.com. And this is what we call live experience. So the goal we have with 3D Live is to serve the consumer on people who have the need to see and the need to know. And this is to share the information. So you have seen us in the layer number one here, which is really offering the product, offering the way you produce things. We want to be able to share this information over the wire and really use it and you see some of those illustrations. This showcase was presented by Steve Bunner at the Microsoft Conference where Steve presented a new way to do airplane maintenance using the Office and he did the demonstration himself, using the Office XML environment integrated with 3D real time environment of 3D Live and demonstrating how people will follow maintenance procedures online. So, of course, it’s not going to generate significant growth (inaudible), but it’s a very critical piece of the future and I believe the gap of what we do as compared to what any of the competitors is doing is widening. I will show you some illustrations of that quickly. Here is a company, Lumec, it’s a small company. They have selected 3DVIA for online configurations. These are the kinds of sites they do. They create those products, they use 3DVIA, they use the 3D Live environment; unfortunately this (inaudible) is a little bit long, but the consumer can select the configurations. They can even put – do I have time to wait? As you can see you can really configure exactly online, on the Web, the way you want to buy this product and then you can put it in the environment. So you can take pictures, insert, whatever you want to do and see how it’s going to be. This has to be online. You cannot find those customers and try to install it cold somewhere. So that’s the power of 3DVIA. This is where we are going. Look at this, you can just reconfigure things. It’s cool. And we are just at the beginning; all the tools are not there yet, but this company has used 3DVIA technology to prepare those 3D centric Web sites so they can do first life. I think this is first life, not second life. And that’s why also we have done the integration of real (inaudible). You take your real (inaudible) start up company in the south of France, they do cool things. You take your phone; you take pictures of your living room. A few minutes later you can have the 3D view of it and then you can insert 3D objects. How can you do the layout of your own environment if you do not have 3D? Because when you insert objects you cannot, if it’s not 3D you cannot do it. So that’s the power of where we want to go. It’s not only fun, it’s useful. Here is another example. (Video plays) So it gives you a trend, expanding PLM to be used by everyone inside and outside the company. And that’s the intent of the 3DVIA product family, online applications for easy access. We have also announced a joint venture with Publicis Group, as I said. If you go on 3D SWYM; it’s easy to remember, See What You Mean, is where SWYM is coming from, it’s out slogan. The idea here is to have this joint venture, which will be a small structure, to really provide the online 3D platform for collaboration between marketers and product designers. But it can also be between marketers and people doing the design of the source of selling points. When you think about the size of this market today, just for marketing it’s $300 billion. All this is done with sketches. We believe that 3D is a powerful media to serve some of those issues well. If you look at what P&G is doing with 3DVIA, for example, we are doing what we call store experience, shopping experience so big walls where we can display the shelves, the products. We can observe consumers picking the products, what we call the first moment of truth for marketing, look at where they look on the stickers, look at the design quality of the stickers; all this can be done in a 3D realistic environment. That’s the intent. We plan to use that as a way to create platforms so consumers will be involved in those industries we are targeting. Here is an illustration of it. (Video plays) So it gives you an idea about the potential. Of course, this is the beginning, but we want the publishers’ group practices to take advantage of 3D interactive collaborative platforms to collaborate in such kind of activities, so it’s really a very, very interesting area of development. Of course, don’t expect a huge upside this year, but I think what we want to do is make sure that the future of 3D online is also done with Dassault Systemes. We are slightly updating our full-year objectives to – for growth about 14% to 15%, excluding exchange rate to almost, to probably 1.3 billion euro EPS, with a growth of 9% to 12% taking into account the evolution of the exchange rate for both the euro to U.S. dollar to 134 and 162 for the euro, Japanese yen. You see here in the third quarter, I believe that some of you, or some of the observers, were a bit concerned with our fourth quarter. We (inaudible) on with the great dynamic of first half, we have reduced the risk significantly on that. This is how the evolution of the revenue can be understood. Our initial objectives were where the numbers you see here, that 1.275 billion to 1.285 billion, and so you see the exchange rate effect, the (inaudible) contribution, the activity contribution on the new objective, so you – exactly the way we have been taking this into account for both the revenue and the EPS. And you have the copies, so you can update your – or validate this with your own models. Not included in the non-GAAP 2007 objectives, of course (inaudible) revenue. The 18 million on the share base compensation and the amortization authorization is about 11 million. And these estimates don’t include either the stock options or shares granted in 2007. Thank you very much for your attention, and now, let’s take your questions.
 Unidentified Analyst: Thanks. You’ve talked about the CATIA growth. You’ve been very pleased with that, and that’s going back into double-digit ex-Abaqus. There’s no Abaqus in the second half, so that should be good. And then positive news as well on the ENOVIA side, and then on SolidWorks talking about Japan being sorted out for the second half. On the other hand, you’ve talked about derisking the Q4 and not pushing the estimates further, given the upside in the first half. Could you just give us a feel for why that is? Is it because you’re taking quite a conservative stance on the second half of the year? Is it because the estimates were originally a little bit aggressive, and you’ve brought them back? Or is it because there’s some caution in the business, maybe what you’re seeing in the U.S. economy or something like that? Just to give us a feel for how you’re sort of viewing the guidance in the second half of the year. And then maybe, could you just go into a little bit more details on the SolidWorks business with the CEO change there. Is that having an impact as well as Japan, and how confident are you that can pickup in the second half? Thanks.
 Unidentified Company Representative: On the topic of the business environment, or for the first part of your question, I think we are quite confident we don’t see any sign of a slowdown from a pure business environment. So that’s not a factor we have taken into account. The factor we have taken into account - we try to take into account what is written about us because our – the observers believe our arguments, or they don’t. And if they don’t, then we have to listen, and we have to be more straight later on that we were right in our assessment. So this being said, we noticed that some of the observers said that the first quarter was a bit high. I don’t think so, but we have taken notice of that. With the upside we have done, we are just saying for those of you that were considering the first quarter was a little bit high, you should not have any problem anymore, and we continue to take our basic policy of making sure that we will deliver what we said. I think we want to deliver what we said. I’m not planning to spend time to explain why we failed. So it’s a policy that we have set in the company. It’s one behavior. You know it. And we want to really be addressing many other great challenges we have without having to ask ourselves everyday – “Are we going to match our numbers or not,” as simple as that. Now, related to the comments, related to the growth of all the brands, I think we have very healthy brands, all of them, extremely competitive. My view in the last 18 months in just – for each of the brands, we have increased the competitive gap. Competitors might not share that view, but numbers are speaking. We’re not far from doing twice the revenue of one of our competitors that was supposed to be the biggest competitor a few years ago – twice the revenue. So that’s in U.S. dollar, $225 versus $420. So there is a reality there. The second reality is we continue to focus on recurring revenue, recurring revenue for us. When you think about the ambition we have for 3D online, it’s essential that we build a business model, that we make this transition seem less, and we’ll open us the world to new type of communities of users with subscription models. Related to your question for SolidWorks, Jeff Ray is the new CEO. He was the COO for three years. Jeff has been the one leading all the distribution machine. If you look at this, it’s very simple to explain. SolidWorks is going to its fourth chapter. Chapter one was to start up. Chapter two was the takeover by Dassault Systemes. Chapter three was John McEleney taking over on John Hirschtick, the founder. Chapter four is about Jeff taking over what John has been doing because we need to scale up this, and it happened that John McEleney had some private, personal wishes, which are not related at all to any new jobs, which are pure personal reasons. So it happened that this was a triggering event. But I think it’s a very strong team, extremely competitive team. They are doing the right things, and I think that that the future of SolidWorks is clear. We want to establish the standard for 3D MCAD for the mainstream market, industry standard. Think with the market share we have now, that’s the game plan we should have, so discipline, expansion, coverage and competitiveness of the solution. Not a risk factor, in short.
 Unidentified Analyst: On a question on PDM business, you said that, obviously, this wasn’t an accident, and this is the start of a trend. Should we expect growth rates to accelerate going forward, or this is more of the run rate you expect in the PDM business?
 Unidentified Company Representative: It’s too early to speak about 2008, basically, which is behind your question someway, or 2008, 2009. We are very comfortable, like with the plan we set to develop the revenue and develop the EPS on the base of 2005 by 2010. I think we will make those – this specific plan that was published that you all are informed on our Web site, and I think we’ll do that easily. I think that looking forward, when you look at all the things we are doing right now, we are expanding the portfolio online, so we are investing in R&D. We are investing in new safe distribution machine, to make it global, lean and efficient. And we are investing in business practices to deploy PM solutions. So at some point in time, I hope, it will create some additional leveraging factors. It’s too early to predict that. I think we will have to discuss – and by the way, the question we have on that, frankly speaking, is when we see all the – as a side note, when I see all the user practices in the sector, we have always announced our – or given a preview of our guidance for the following year on Q3 of the previous year. We are asking ourselves, should we continue to do that or not. It’s a question mark; we don’t know. It’s a side note that I want to make it official for everyone. We are asking ourselves, if we are the only one to do it, why should we continue to do it? So – but I believe that the long-term growth for Dassault Systemes is a double-digit long-term growth. That’s the best way I can give you an answer right now. I don’t want to mention any more or say any more, anything specific about when this acceleration could happen. I think we are trying to do the right things. On all fronts, on the diversification, is working.
 Unidentified Analyst: Can I ask how you feel about Google’s entry into online 3D? And that being a low-end disruption, is that an opportunity for your business or a threat?
 Unidentified Company Representative: I think it’s clearly an opportunity. When you think about 3D as a media, if you admit that 3D could become media like (inaudible) media, you can think about one company doing that. There are so many ways to take advantage of 3D, so many businesses. But there are a few things we do better than anyone else. So I think what Google is doing, what Microsoft is doing with Virtual Earth, and you may have noticed that we have expanded our cooperation with Microsoft on the Virtual Earth. It was announced in June, and we expanded it because we believe that we can take advantage of the MSN community, of the Virtual Earth community, and start to provide cool, useful, powerful 3D modeling capabilities for this environment. So I see this as a real good drive. And the number of possibilities to create new type of applications is enormous. There is one thing that Dassault Systemes, in the very long-term, will do better than anyone else, I believe. If there is one thing, it’s about the fact that we want to do first life, not second life. We want what is designed, what is simulated, to be as close as possible to the reality. To make this happen, it takes a lot of science. And that’s what we do well. And that’s why the airplanes are flying first time you turn the key without having done any physical prototype. So this is a very core characteristic of Dassault Systemes, that I don’t think you can find in any of our competitors’ assets.
 Unidentified Analyst: Google’s (inaudible) Disrupter is not a threat.
 Unidentified Company Representative: No, I think it’s a great opportunity to expand.
 Unidentified Analyst: Thanks very much. Just going back to the performance of SolidWorks, on one of the slides, you talk about, I think, the volume growth of the seats was 6%, but price is down 4%. But then you quote a revenue growth figure of – on a like-like basis – of 11%. I’m just trying to square up those numbers. And just for clarity, can you actually tell us what proportion of SolidWorks is in fact, in revenue terms, not into Japan?
 Unidentified Company Representative: (Inaudible)
 Unidentified Company Representative: Sorry, I’m not sure I heard the end of the question.
 Unidentified Company Representative: Well, are you linking that to the Japan question, or you’re linking that to the volume on price?
 Unidentified Analyst: Well, that was two separate questions.
 Unidentified Company Representative: (Inaudible)
 Unidentified Analyst: First of all, in terms of the units, it was up 6%.
 Unidentified Company Representative: Yes.
 Unidentified Analyst: But in terms of the average selling price, down 4%, yet the revenues were apparently up 11%. Clearly, you’re trying to desegregate, I think, the performance in Japan, but can you give us actually what was the level of revenues that SolidWorks into Japan?
 Unidentified Company Representative: In Japan? No, we don’t communicate revenue by geographic.
 Unidentified Company Representative: But you can keep in mind, and I think behind your question, what you have to - is that SolidWorks also has a model where the recurring revenue is strong.
 Unidentified Analyst: A separate question, but going back to (inaudible), you mentioned in one of slides, I think on page seven, that the unit growth was down 8%, but there was a base effect there. Can you tell us what, if you strip out the base effect, the decline in the unit volumes would have been?
 Unidentified Company Representative: I think we’ll give you the size of the others contract, which we have not communicated. Anything else you can say?
 Unidentified Company Representative: No. (inaudible). We cannot communicate anything, of course, on the other deal, which is information we cannot give. What you can keep, however, in mind that is very important to give you an idea that the key there with CATIA models, when you see the (inaudible) revenue with CATIA, you see the trends of the (inaudible) revenue, that you have a very good performance against this quarter of the leading revenue for CATIA (inaudible) but it’s very true for CATIA. You see that also in the (inaudible), you had only the new license figures in it, you will not have such figures. People (inaudible) that it’s an important point.
 Unidentified Company Representative: You’ll remember, also, that when we talk about new license we talk about new base license, new base license. The CATIA portfolio contains 140 products. When a customer buys additional product on existing base license, we don’t count them as new licenses. We count revenue, but we don’t count the license counts. It’s not taken into account. It’s additional revenue for existing install base, which is basically what you see on the recurring effect of it. One name, but 140 products. Of course, people will not install 140 products on one base license, but they would install many.
 Unidentified Analyst: Just a final quick question. Are you prepared to break down the revenue contribution of (inaudible) and also MatrixOne or is, as far as you’re concerned, MatrixOne now is completely embedded and not possible (inaudible).
 Unidentified Company Representative: Moving forward, MatrixOne revenue will not be published. This is the last quarter where we give some information. It’s going to be one line for ENOVIA.
 Unidentified Analyst: Given that this is the last quarter, can you actually give us the figure for MatrixOne revenue contribution (inaudible)?
 Unidentified Company Representative: You have the (inaudible) excluding MatrixOne (inaudible).
 Unidentified Analyst: Sorry. Just a quick question on the contribution, the uplift you got from the change to the structure of the resell agreements with yourself and IBM. I was wondering if you could give us what the uplift there was in Q2 and what you’re expecting for the rest of the year.
 Unidentified Company Representative: As we’ve said when we announced this and made the comments on the agreement, we said that the contribution you could think about at the 2010 horizon on the revenue side could be a few points only of growth from the change, structural changes, of the partnership. It’s a marginal effect because what we want to do is, first of all, (inaudible) more revenue. Second, we are changing the business model for the partners so they can invest. We believe that one of the limitations of our growth in the past was due to the lack of capacity of those business partners to invest. We said how many points by 2010 on a structural basis, five points at best. It gives you an idea about horizon 2010. If we are not changing anything, if we are not growing, the structural change of this alliance will have a growth effect of five points over basically three to four years.
 Unidentified Analyst: That’s a growth effect of five points.
 Unidentified Company Representative: We get five extra points of (inaudible) revenue.
 Unidentified Analyst: I think we spoke before about it. Are you saying that IBM generates a half a billion in revenues from the SME channel? My understanding is that there’s been a 5% movement in your favor in these agreements, which would suggest then that $25 million uplift.
 Unidentified Company Representative: No.
 Unidentified Analyst: That would be the wrong way to think about it. That would be too aggressive?
 Unidentified Company Representative: Yes. On that reference, we have not changed what was called a 50/50 basic agreement that has been there since the beginning. This structure has not changed. If you recall, what we mentioned was as we were going through the transition of the channel, we have been doing it in two steps. From the original agreement we did one step, which was IBM told us, “Please do the job for us,” but the revenue fee goes to IBM. That’s what we have been doing last year for seven countries, to be prepared, to be ready. Basically, we were being paid as a service, basically. As a service, not a software, to do that job for them. That was a way for us to prepare our teams in different countries to be ready to take over the channel management at a proper time. That’s probably where you are in this understanding. You should not count this. If you look at the structural change of the partnership, at best, at the horizon 2010-2011, at best it would be an effect of five points. That’s the easiest and the most accurate way to keep it in mind.
 Unidentified Analyst: I have a couple of questions, if I may. Firstly, obviously the business model is changing, where you’re obviously taking a bigger share of recurring revenue, maybe at the expense of licenses. Could you remind us what the drivers for that are? Obviously, lease has been a contribution in the past. Are you seeing a significant shift with customers to take more lease deals or are you pushing them towards lease? Is there any impact? As a follow-on of Adam’s question, obviously there’s a maintenance flow coming back to you as you change the relationship with IBM. Is that what’s helping the recurring revenue stream or is it just a fundamental change as you wait for the licenses to be delivered by the new channels, that you’re basically having to extricate more maintenance out of the existing business? A question probably for Valerie on the deferred maintenance right now. Can you help me understand the two components? What relates to acquisitions and the write-down of maintenance and what relates to the solid works reevaluation of options and when we should see that disappear?
 Unidentified Company Representative: On the first part of your question, for years we have been really promoting the (inaudible) mechanism for the licensing because we believe it’s the best model. We have been pushing it even against some of our sales partner. IBM, namely, really wanted to recognize as much revenue as possible. We have continued to sustain that strategy. As we now play a bigger role in managing ourselves the distribution machine, we are getting the result of our policy. I will give you a few examples. If you look at the SIMULIA recurring model, I have not looked at the last statistic, but I will give you a data point. Almost 80% of the revenue is recurring. If you look at the way we (inaudible) now the SolidWorks, we continue to build up a model where the recurring portion is growing. If you look at the contracts we signed for ENOVIA, we do the same. The future for the system is to continue to push very hard to not recognize massive up-front license fees. The result you see is a result of the implementation of that policy. From a business partner standpoint, some data points. It’s also good. In the past the business partners were not getting revenue, any portion of the recurring revenue. What happened is that at the beginning of the year, when they do look at their investment plan, they would have to rebuild their entire revenue stream to be able to have a positive, profitable business. We want to change that with them and for them, and that’s also the side effect of this policy, which is a significant one, to have a reliable, indirect sales machine that can continue to invest. If you look at all this in detail, there is no, in the software industry, indirect sales machine that works well (inaudible) in the software, not the hardware, without having some portion of recurring that gives them stable business to grow and invest. That’s what we are doing right now. Those are the factors. The results that you see on the numbers are coming from the implementation of this policy as we are more influenced now on the game plan.
 Unidentified Analyst: As we look at it and we look at forecasting going forward, obviously it doesn’t make much sense looking at last year’s (inaudible) revenues between license and recurring because of this change. Should we sort of build off the license maintenance as it is today rather than how it was 12 months ago? Just coming back to your point, how much of that recurring growth is being driven by, let’s say, the Abaqus business, which was predominantly recurring, as you say, 80% recurring, versus an increased proportion of CATIA being leased rather than up front license?
 Unidentified Company Representative: On my comments, when I talked about the channel, those were not SIMULIA factors. I should have been more explicit on this. Of course, this was just (inaudible) because this channel doesn’t sell yet SIMULIA. It’s basically our own direct sales force. The SIMULIA comment was on factor, the SIMULIA comment was on factor, the sell factor is the channel with CATIA Express. The (inaudible) factor even in the logic of SolidWorks will continue to improve the recurring profit portion of it, in short. On the other question about the (inaudible) revenue.
 Unidentified Company Representative: On the $2.9 million that we have this quarter, $900,000 is coming from SolidWorks and after Q3 it’s going to be finished. So that was, as you said, related to the SolidWorks, the stock option plans that we had to (inaudible).
 Unidentified Analyst: Will there be similar amounts in Q3?
 Unidentified Company Representative: No, it will be less, actually. It will be much less, less than half.
 Unidentified Analyst: In terms of the (inaudible) business, half of you say software’s up 10%, (inaudible) is up 20%, (inaudible) 14%, 15% for the year. Is that proportion going to stay roughly the same or are we going to see software come back? The third, which is gross margin, was also very strong. What should we be thinking about for the year and why was it so strong this quarter?
 Unidentified Company Representative: I think that the service, you shouldn’t expect the same kind of growth for the service moving forward. We are in a very (inaudible) situation because we have a lot of demand and we are trying to push this demand to our partners. We could do much more, but we don’t want to continue to focus on the software aspect of it. You shouldn’t expect to extrapolate your model with last growth factor on the service. You can conclude, for the first part of your question, we need to create the growth somewhere, and obviously that’s to be on the software growth standpoint. The proportion, the general question about the business model, that’s a system business model which is basically the proportion of service, so software should stay along the same lines on a long-term basis. Now, there will be a side effect I want to mention now without being able to give you more data. We together are going to face an interesting question moving forward, which is the (inaudible) and the way we do model when we do online. We do software as a service online and we have not concluded on all those aspects, but it’s going to create a bias that we will have to analyze more carefully. Because if it’s recognized as service, it’s not going to be on all the same services as the one we are talking about right now. The current thought process we have, it’s not a decision, the current thought process we have is we probably will create a new line. There’s still a lot of discussion going on in this area because it’s about how do we give you, in 2008-2009, publish this kind of new type of way of selling online services. That’s a sign of it, but I’m not including that comment in the service. I was taking your question about service like traditional consulting and traditional services for deployment.
 Unidentified Company Representative: If I may just (inaudible). Keep in mind that Q2 had a very low base of comparison for services. Not saying they didn’t do well, but they had a low base of comparison last year, where it’s not the case in the second half, where they had much better performance. Just from a base of comparison, don’t expect to find that type of, of course, and (inaudible) second half because and for the full year, actually, as a whole (inaudible) if it is more led by software than by services. Regarding the question on the margin, this quarter was led by the good performance with exception of the (inaudible) service margins for the type of level we are targeting for the full-year. (inaudible) between 15% to 20% of the services market for the year. Keep in mind, also, that this is impacting (inaudible). You don’t only have (inaudible) in the service line and that you have, also, some other revenues which are being recorded. That does impact, also, the margin. You can’t look at it as a pure (inaudible) market.
 Unidentified Analyst: Just one follow-up on the SolidWorks pricing. That’s come down a few cents this year; you were guiding for essentially flat. What’s causing that price decline and do you think you can get it back to flat for the year?
 Unidentified Company Representative: I don’t know yet. We have to do some detailed study about why I’ve not looked. We need to look at the mix between the licenses, between premium and basic licenses. I don’t know yet. We’ll have to look at this. I don’t think there are any specific concerns, but I cannot give you a good answer right now. We have not looked at this in detail.
 Unidentified Analyst: I have couple of questions, actually. Just on the margins, the R&D seems to be flat year-over-year and normally we’d expect that to rise. Can you talk about what’s going on there and maybe whether you see more investments going forward in R&D or if there is some leverage there that we can use in our models? Then on SolidWorks, I guess excluding in Japan the growth rate was 30%. It’s a bit lower, perhaps, than we’ve seen in the last couple of years. Can you see that kind of growth rate accelerate or do you think that we’ve seen the big migration path from 2D to 3D or is that still ahead of us?
 Unidentified Company Representative: I think on the SolidWorks side, really from all the analysis that we have done, we believe we would stay on a consistent growth rate without the transition we are doing in Japan. I don’t see any reasons why we shouldn’t be able to continue with the kind of traffic we have built in the past years. I think that the potential to continue to create growth on the wide, the huge 2D install base is still there. It’s not behind us; I think it’s in front of us. It’s up to us to provide easy paths for this growth. What’s becoming more complex, I think, is the fact that customers, the type of users we are targeting now are really trying to find seamless ways to go and use 3D to replace 2D. This seamless aspect creates the need to innovate new features and functions. There is a lot we have done in 2008 to make this easy, easier, and we are going to do even more on that to give the impression to the user that the work in 2D, on reality, is they do create things in 3D. A lot of innovations there that I think are going to increase the gap. So it’s in front of us. The growth is there. If we move the Japan effect that we knew it would create, but on the full year we think we should be in good shape.
 Unidentified Analyst: The R&D?
 Unidentified Company Representative: On the R&D, I mentioned that we are doing a lot of investment for the online. We want to continue to do it. We believe that this is an opportunity we should not miss and we should be there first. Supply source is one community today where engineers will be able to have a marketplace to really connect with any suppliers to produce parts for them. We are in alpha test for that with a community of about 10,000 technicians now. It’s working extremely well. We believe that these types of communities are interesting, and it’s billable. We can create a revenue stream. For that, we create new communities in this area. I think the business model to have new types of use of 3D online with free services and billable services is a compelling value for us. It creates a completely new visibility for the kind of software we do. Think about the cost of marketing and think about what we could do having things online where people say, “I like this. I want to buy the software now to do my real job.” This game plan is key and that’s the investment we are doing in 3D today. As I said, before (inaudible) we will be able to do design online. I’m not saying (inaudible) online of SolidWorks online, but for sure better than Google (inaudible), to refer to your comment. Yes.
 Unidentified Analyst: Thanks very much. Going back to the answer to a previous question where you were talking about incentivizing the channel partners, you were referring to what I think was a statement whereby you need to look at your strategies, whereby they can actually lock into some of the recurring revenue which they helped you achieve. Can you expand a little bit upon that in terms of what the magnitude of their lock into that recurring revenue could be? Also, while it’s trivial at the moment, and probably for the next couple of years or so, when those relationships are struck, will you report recurring revenue on a gross or a net basis?
 Unidentified Company Representative: Well, first of all, the fundamental reason explains what reason we have shaped our partnership with IBM. It’s to address exactly that topic. Basically, before, in the food chain there were three players. Now there will be two. There was the partner, IBM and Dassault Systemes, now it’s the partner on the Dassault Systemes of the indirect channel. The approach we have is that we could have kept that money and created basically a growth on that standpoint. We have decided to strengthen the competitive business model for the partners. For our own business model it does not change much, but it dramatically changed the equation for the business partner. What was staying in IBM is now basically being shared with the partner. That’s why we can do a seamless transition to the new model, almost seamless.
 Unidentified Company Representative: That doesn’t change for us compared to the previous model. We don’t recognize the gross revenue, we don’t recognize the end user revenue (inaudible). Even in the channel it is the same thing: We recognize our share of it, but not the complete revenue. The partner is the one doing the business and we recognize that part of it.
 Unidentified Company Representative: Yes.
 Unidentified Analyst: Could you talk a little bit about your (inaudible) Express revenues and (inaudible) growth and AC developments in terms of total, share of total?
 Unidentified Company Representative: I think I made the comment, the PLM Express configurations, I think you should have them in your document. They represent 60% to 70% of the new business.
 Unidentified Analyst: How are prices developing there, ASP compared to last year?
 Unidentified Company Representative: The ASP we publish is the result of this, so the ASP includes the PLM Express solution. When we present the ASP result, it does include the solution. Now, if you compare the price of a configuration by the integrated solution versus buying two of the products, the customer will pay less. It costs less for us to sell, also, because everything is integrated.
 Unidentified Company Representative: What we see that’s interesting is that actually the entry price, if you want, we set is a bit lower than the average price. The average price that we see when we sell PLM Express is very consistent with the average price for the customers. The customers will actually take the very low configuration, if you want, on an average. We do not see any degradation of the price coming from the (inaudible) sitting in the channel as some people were afraid of.
 Unidentified Analyst: I just wanted to ask a question regarding your 2008 guidance, which you said you may not be giving this time in October. I’m just wondering as to the timing, why this year you’re choosing to perhaps not give that guidance as you normally would in the past. I do understand that you are one of the only companies who does that, but that’s always been the case. Does it revolve around you potentially feeling at a disadvantage for doing that or does it have to do with some of the thought processes around software as a service and the changing business models and how that’s going to impact your reporting going forward?
 Unidentified Company Representative: It’s a very good theme. We have not made up our minds on this. However, this is more my personal comment. I have a mixed feeling about this. Each year when we comment on, say, how we see the next year, the third quarter, very often we create a mixed feeling and we were expecting more. I have a mixed feeling about the way this is integrated in the market. That’s why I said the policy is not set yet. We try to do the right things to not create an expectation that would be inappropriate. Very often, as you see, as you have seen in the past years, when we do the full-year announcement in February we update the guidance. We have never reduced them. In most of the cases in the past five years we have increased them. The best practices in the industry are such that really, those questions are asked now; should it be done or not? So I don’t know what the answer is. I just wanted to communicate that we have this open question right now. I’m sure we’ll discuss with some of you about the best practice and look at what everyone else is doing. There is nothing related to the second, the latter part of your question. There are no specific concerns from our side about the transition of a business model or anything as such. As a matter of fact, I think we are very, very ready for an online subscription model. It’s a very exciting model for us and we believe we know how to do it. I see the online business as more a positive addition, not a substitution. The question is open and we need to find out what we should do.
 Unidentified Company Representative: Yes. If we don’t do it in Q3, don’t tell us because to wait is not good. That would not be the conclusion to draw out of it. That’s why we say in advance it’s (inaudible).
 Unidentified Analyst: The new line that you might be breaking out that you say is additional revenue, the subscription line or the online recurring line, will you have contributions there next year?
 Unidentified Company Representative: Well, that’s not a decision which is made (inaudible). We need to really make up our mind. Probably, it’s not going to be next year. What we will do is we will do an estimate about how significant or marginal it is. Based on that as compared to the total revenue, we will decide when it’s the right point. We need to think about how we present that to you. It shouldn’t be confused with additional consulting and services. I think there is some thought leadership here. We have a good example with (inaudible) but they do only that. They do not have on premise. Some other companies (inaudible) but we want to do both. We want to do on premise and online. Of course, this will be a major differentiator for the system. We’ll come back on that, though.
 Unidentified Analyst: Thank you.
 Unidentified Company Representative: Okay? Good question on support.